Operator: Welcome to the Kahoot! Group Earnings Webcast for the First Quarter of 2023. I'm Ima [indiscernible] from Kahoot! and I will be your moderator today. We are very excited to be here with you to give you updates on our progress here at Kahoot! Let's take a quick look at the agenda. We will start by giving you an introduction, then we will proceed to discuss Kahoot!'s financial and operational highlights from Q1. At the end of our presentation, we will take some questions from the chat. So please feel free to share your questions in the chat as we move through. Today, we have with us here, Eilert Hanoa, CEO of Kahoot!; and Ken Østreng, CFO of Kahoot! I will now pass it on to Eilert to get us started. Over to you, Eilert.
Eilert Hanoa: Thank you, Ima, and good morning and good afternoon, everyone, and thank you for taking part in this first quarter presentation and Q&A for our 2023 first quarter. We look forward to taking you through our initial quarter of the year and share some of the highlights as well as our momentum into the mid part of 2023 and of course, the focus going forward. Kahoot! is a mission-driven company, born out of the idea of making learning awesome. Lifelong learning is one of the greatest catalyst for sustainability and Kahoot!’s contribution is to develop the best learning tools in the world, to engage learners of all ages. This is our motivation for work as hard as we do every day. For those of you on the call that are new to Kahoot!, let me give you a brief introduction to the group. Today, consisting of the core Kahoot! learning and engagement platform with the signature Kahoot! Experience. Clever, the leading U.S. K-12 digital classroom, connecting educational providers with millions of students and teachers and more than 97,000 schools all over the US. And finally, our full suit of complementary and learning applications developed and acquired over the last few years. This combination puts us in a good position at the intersection of learning and audience engagement needs, with a unique opportunity to grow and make a positive impact, reaching learners across segments, demographies and geographies. What sets us apart is our highly scalable software platform, with hundreds of millions of users in the ecosystem of global partners, brands and engaging content. This gives us low operational costs and high gross margins. A very powerful brand, loved by learners of all sorts, spanning user segments, geos and demographics as well and, of course, our long-lasting commitment to innovation and product-led growth. It is the user experience and engagement that creates the basis for our viral spread and conversion to paid usage, not the traditional paid marketing. So let's switch over to our first quarter. We experienced a still restricted market environment in the first part of the quarter, continued with a headwind from the last quarter of last year. Given this context, I think we delivered well, both in terms of top line growth on the group level of 18% on the revenue and approximately 11% in invoiced revenue for the quarter. Excluding Clever, billings grew 14% year-over-year to $28 million and Clever billings in Q1 was $9.6 million, similar as the first quarter last year. Our paid subscriptions continue to increase across all business areas in the first quarter with over 35,000 licenses, of which 30,000 from professional users in categories, including school and work. The total number of paid subscriptions has now reached $1.34 million across all services, which is also up 15% year-on-year. This comes with a minimal customer acquisition cost due to our viral distribution model. We were able to maintain a marginal increase in costs in the last consecutive quarters. This enabled us to reach a very solid all-time high adjusted EBITDA exceeding $10 million for the first time with continued marginal CapEx. It also made us able to deliver a double adjusted cash flow from operations compared to quarter last year amounting to $8.4 million in Q1. And this marks our 14th consecutive quarter of positive operating cash flows, thanks to our scalable business model. The last 12 months, Kahoot! has generated $45 million in free cash flow and having net cash flow is perhaps the most important factor these days in building a solid business and a long-term growth strategy. Our cash and cash equivalents at the end of the Q1 was total of $88.7 million, and of course, no long-term debt as last quarter. Kahoot! is very fortunate to have a diversified business with three different customer categories and users, representing different commercial potential. It is important to note that the strong synergies between the three and offerings of these largely coming from the same platform and the resources and development teams, hence giving additional scalability to our business model. In the commercial, we gather the group's resources, tools and solutions and content for corporate learning and engagement, including acquired units of Actimo and Motimate and of course, the flagship Kahoot! 360 as well for all kinds of companies around the world. Under education, Kahoot! School and Clever makes up powerful offerings to teachers and school owners across the globe. And our consumer and experience category cover both Kahoot! at home and Kahoot! academy a learning platform and marketplace offering premium content for -- from educators, from publishers, partners and brands. So let's look at the business highlights for the quarter. A key driver for the growth was the continued trend in paid professional users, both from education and commercial. As pursuit of learning and audience engagement solutions continue to expand, to address various needs amongst these customer groups, we see the effect also not only with additional subscriptions, but also higher activity on paid accounts. In the current climate, most organizations are now looking for CapEx light and easy to implement solutions, and Kahoot! is emerging as a great option for training and learning needs for both small and larger organizations across the globe. Professional customers also continue to show strong retention numbers. The dollar retention for our top enterprise and school and districts accounts have remained solid at approximately 120% on an LTM basis also in this quarter, as we have seen in the last quarters. So let's take a look at some of the top level subscription numbers. On the commercial side, we saw approximately 15,000 new paid subscriptions added, reaching approximately $595,000 in paid subscription, up 16% year-on-year. We continue to see growth across all commercial offerings with good traction across all sales channels. Also important to note that the momentum picked up particularly towards the end of the quarter and has continued into future. On Education, in the quarters of 15,000 net new paid subscriptions, reaching approximately 45,000 in paid subscription, up 14% year-on-year. And on Clever, the momentum continued also into the second half of the school year adding several new paid apps and partners, now with a total of over 610 paid apps partners on 920 overall on the platform. And now with K-12 student activity also continuing to grow, Clever now has 25 million monthly active students across 97,000 K-12 schools on the platform, primarily in the US. And that is a big development both year-on-year and of course from the fourth quarter. This sets up lever well for the coming back-to-school, which is the high season for Clever, both on usage and of course, rollout of new schools and new apps across the Clever universe. And let me return to the performance of Clever. It's very important to note is that in line with Clever billing cycle, we expect financial impact from new application partners as well as from further expansion of Clever's and user group of schools and districts, to occur, primarily in the second half of the year in particular the third quarter and back-to-school and we expect Clever to deliver on a full year basis continued double-digit invoice revenue growth and this year with an improved profitability as well. On the consumer and experience side, we saw -- in the quarter 5,000 net new paid subscriptions added reaching approximately 300,000 in paid subscription, up 15% year-on-year. This gave us strong momentum with over 30% growth in billings in March that continued into April. And after seeing gradual normalization in the free social users on the Kahoot! platform, compared to prior year's pandemic influenced levels the month of March was the first comparable month post pandemic. Therefore, it's great to see that we had 175 million participants in total in March alone, which is in synch both showing the new traffic patterns and also indicating a positive growth trends in some of the monthly user metrics on the Kahoot! platform and we continue to have millions of new sign-ups on our platform every quarter. So all-in-all, we're pleased to see a positive development across our metrics that are most important in the first quarter through our diversified global portfolio across our user groups geos and offerings we were able to hedge the market volatility and also make sure that although a difficult market initially in the quarter, we saw a strong performance in March and this trend continued also into April across our different user segments. We are privileged to be working with some of the truly awesome brands and enterprises across industry verticals and geos, including H&M, Louis Vuitton, Gucci, Amazon, Decathlon, British Airways and many more. The quarter saw a great influx of both new deals and expansion of already existing customers relationship and some of the highlights are Sodexo, the global food service and facility management company with over 400,000 employees in 55 countries, where we were able to start our partnerships in Sweden in the quarter. Our brand Actimo now supports Sodexo in their daily interaction, with their frontline employees and with Actimo they build engagement team for engaging for the teams with a learning culture that enables them to better serve their customers. Another great expansion this quarter was Charter Communications, a leading broadband and cable operator with more than 100,000 employees in the US. They were already using Kahoot! 360, but they're now upgrading to 360 Spirit and they will leverage Kahoot! 360 Spirit for new hires on-boarding and training across multiple regions and it's another great example of how these companies and their usage is actually accelerating virally internally in their organization. And the same goes for American First Credit Union. One of the largest credit unions in the US, starting using a credit for hybrid employee trading back in 2021 with a smaller number of our licenses and expanding in the first quarter as well, adding hundreds of more licenses as they go. And even though our viral platform already is used by companies, institutions and organizations across more or less all deals, we are still scratching the surface of the opportunities. So even though there is an impressive list of logos, there is still a huge potential for Kahoot! to grow our business in the quarters and years to go through the expansion of new customers and, of course, expansion within the existing customers you see on this overview. So with that, let me give the word over to you, Ken, for our financial update on the first quarter.
Ken Østreng: Thanks, Eilert, and good afternoon and good morning, everyone. I'm very pleased to take you through the numbers for a solid first quarter of 2023. From a finance perspective, our focus in Kahoot! is about continued scalable growth, expanding profitability and solid cash flow generation with disciplined capital allocation. In terms of continued profitable growth, the financial development over the past three years, as of the first quarter confirms that we have a proven, scalable business model. Our 10x billing growth, $273 million over the last three years as of the first quarter is driven by organic growth in number of paid subscriptions and effect from acquired companies. Revenue growth follows recognition of the billed annual subscriptions of the term period, driving the 14x increase over the last 3 years for the end of the first quarter to a revenue of $152 million. We have continued improvement in adjusted EBITDA following revenue growth and prudent cost development with an increase of $41 million over the last three years for the end of the first quarter and for that last 12-month period, adjusted EBITDA increased 62% year-on-year to approximately $35 million. Our scalable business model, the marginal CapEx is proven by the strong free cash flow improvement of $45 million over the past 3 years and for the last 12 months free cash flow increased 50% year-on-year to $45 million, up from $30 million for the prior 12-month period. The fourth quarter operating run rate visualizes the scalability of the Kahoot! operating model –the building of approximately $173 million for the last 12 months with a corresponding operational cost base of approximately $118 million. And as you can see in the chart, we have operating model leverage with a modest quarter-on-quarter growth of the operational cost base. And this comes through a low customer acquisition cost, a scalable platform, supporting all customer categories globally with infrastructure costs for both free and paid users included in the current cost base. And we have a capitalized business model with minimal CapEx required to support the scale of the operations. Now on to the quarterly development. We have a billing seasonality through the year, and that's impacted by back-to-school season for both Clever and Kahoot! in the third quarter and regular business seasonality through the year. The recognition of billed prepaid annual subscriptions translates into continued quarter-on-quarter revenue growth through the year with first quarter revenue up 18% year-on-year. With regards to the revenue distribution through the year, we had approximately 48% of the full year 2022 revenue in the first half year and 52% in the second half of the year. Adjusted EBITDA continues to improve both year-on-year and quarter-on-quarter with an adjusted EBITDA growth of 75% year-on-year, reaching all-time high of $10 million in the first quarter this year. And the adjusted EBITDA margin increased from 17% to 25% compared to the first quarter last year. Our free cash flow generation follows the billing seasonality with the majority of the free cash flow in the second half of the year. In the first quarter, we had approximately 100% year-on-year growth in free cash flow. So our proven scalable business model, combined with our ability to drive profitable growth in acquired companies as part of the group is demonstrated by our adjusted EBITDA margin expansion over the last five quarters. Now on to the year-on-year development for the first quarter. The almost 6x growth in billings for the first quarter to $37.6 million over the past three years is driven by organic paid subscription growth and the acquisition of Clever, so include here in this table from the first quarter of 2022. The billing translates into more than 10x revenue development over the past three years, growing from approximately $4 million in the first quarter 2020 to more than $40 million in the first quarter this year. Conversion of free to paid users and account expansion is driving growth in the number of paid subscriptions across all customer categories. And by the end of the first quarter, we reached approx 1.35 million paid subscriptions across all services in the group. From a geo perspective, the US and Canada continue to develop as the major revenue region for Kahoot!, and has over the past three years increased its share of the full year billing from 46% to 65%. For Clever, the billing seasonality is, in particular, centered around the third quarter as the largest quarter, both from a billing and growth perspective aligned around the back-to-school season and as the number of partners increased through the year on the Clever platform with a financial impact, mainly in the third quarter, driving the billing seasonality and the annual growth. Now on to EBITDA and cash flow development. Following a continued year-on-year improvements, adjusted EBITDA was up 75% year-on-year in the first quarter with an adjusted EBITDA margin of 25% versus 17% in the first quarter last year. Cash flow from operations almost translates into free cash flow due to the business model with the minimal CapEx required to support the scale of the operations. And Kahoot! turned cash flow positive in Q4 2019 and has remained cash flow positive since. The operational cost base had a modest year-on-year growth in the first quarter of 6%. In addition to the regular operating expenses, there are calculated share-based compensation expenses deriving from the group's equity program. And I want to reiterate that these calculated expenses do not have a cash effect for the company. They are merely calculated expenses included in drivers regardless if the granted instruments are in the money and have a diluted shareholder effect or not. The calculated share-based expenses increased notably in the second half last year, and that was due to the rollout of the new equity program. These calculated expenses will continue to decline through 2023, in particular, in the second half of the year, where we expect the quarterly calculated run rate cost based on the vesting schedule of current outstanding instruments will decline approximately 50%.  For the end of the first quarter, outstanding instruments and the equity program was $32.9 million of which approximately 50% of the instruments are nondilutive at today's share price. At current share price, this translates into less than 4% dilution of outstanding shares on a fully invested basis. Calculated payroll tax fluctuations located with the share price development. And the cash effect on the payroll tax will be offset by the cash payments to the company for the stock price of an exercise of equity instruments. Now on to the cash position development. In Q1, we doubled our cash flow from operations compared to the first quarter last year. Net cash outflow from investments in the first quarter was $23 million, and that is due to a $22.4 million deferred payment for prior year's acquisitions in line with the agreed payment schedule. Outstanding deferred considerations for at a Clever position for the end of the first quarter amount to approximately $17 million and will be payable on a quarterly basis over the next few years. For the last 12-month period, adjusted cash flow from operations was $46.9 million and that is up 55% compared to the last 12 months or the end of the first quarter last year. For the last 12 months, net cash outflow from investments were $32.4 million, and that again was driven by the payment for deferred and contingent considerations for prior year's acquisitions.  Considering capital allocation, the group does not need additional capital to grow organically. Furthermore, our current cash position and future cash generation provides us the opportunities both organic and on organic alternatives, including M&A and partnerships. Now on to our outlook. We reiterate our full year outlook with continued double-digit year-on-year growth in billings delivering a recognized revenue exceeding $170 million with modest annual growth in operational cost base and adjusted EBITDA exceeding 40% year-on-year growth with solid free cash flow. We delivered on our outlook for the first quarter. And for the second quarter this year, continued year-on-year growth in billings delivering recognized revenue of $41 million to $42 million, with modest quarterly increase in operational cost base, resulting in year-on-year improvement in adjusted EBITDA and free cash flow. For the long-term ambition, reiterating the long-term growth potential and scalable ambition targeting approx 40% cash conversion in 2025 as a percentage of billings, and further information will be provided on the Investor Day, June 7, 2023. By that, I'll hand over back to our CEO, Eilert.
Eilert Hanoa: Thank you, Ken. And really good to know that we have close to 40% cash EBITDA in the first quarter already on the group level if we exclude clever assets. So, we are onto a good start and to deliver on that long-term ambition. So we have started off the year well. So let me round up by looking forward. The positive pickup in momentum from the latter part of Q1 has continued into Q2 and a rich product road map and strong pipeline makes me very optimistic about the quarters to come with clear priorities for 2023 with a focus to extract more value for more scalable platform and lean operating model to generate continued double-digit growth and to improve cash generation further. Our long-term commitment to product-led growth will, of course, also continue. We are firm believers that constant innovation and developing steadily better solution is what will be the most sustainable long-term way of attracting and converting users to our platform and attracting paying customers to all of our solutions from the cloud group. And, of course, most importantly, to continue to build the brand, which is always about what products are beneath the brand and peers. Fortunately, we are in a position to continue to invest in new products and revenue streams for cycles ahead, because of our profitable and scalable business model. Product innovation is very much part of our culture. At the group level, around half of our total staff and cost is devoted to product development. The first quarter is an exceptional yield from our R&D initiatives, using a rich lineup of new solutions and offerings to both school, work and home. Some of these have been released already and others will be released in the market in the coming quarters. One integral part of our product road map is to take advantage of the best available technology at all times. In the coming product lineups, we will continue to innovate on all aspects of usage of the Kahoot! platform, including new AI-based certain futures to optimize efficiency of content creation and ease of use and, of course, amplifying the capabilities of our solutions, making these even more powerful in the hands over all our users. And this opportunity to truly deliver a great experience is even greater with the Kahoot! Question Bank as a foundation for our platform, including over one billion questions created by our users. So imagine the opportunities with AI features and these curated questions made by millions of features and really packaged at the fingertips of all users really wanting to have great presentations and use of Kahoot! going forward. We really look forward to soon launching to the market these several new features and offerings, helping both our free users and paying subscribers, whether you're a teacher, a professional, a student at home, or an individual just wanting to have a social great event. As previously announced, we will host an Investor Day coming up in June. Our focus for day will be to provide the investor community and our many shareholders more in-depth information about our longer-term plans, including an update on our overall strategy as a group with breakdown in different business areas, financial ambitions on the next coming years, operational and commercial plans for R&D's ambitions, and, of course, present out our new and updated product road map, including exciting new features, including AI. We will also provide an update to our preparations for a possible secondary listing of the company. With that, I want to thank you everyone for attending to this presentation, and give the word back to our moderator for the Q&A.
Operator: Thank you, Eilert, and thank you, Ken. We are now ready to move to the Q&A session as the final section of the presentation. We have received many questions in the chart, and we're going to start with this one. Given your comments in your Q4 release concerning weaker macro affecting customer spending, what are you seeing currently in the different segment, Eilert?
Eilert Hanoa: Yes. So that's a great question. And I think even though we see a change in behavior from being, as we all know, a difficult market at the end of the fourth quarter, basically continuing into the beginning of first quarter and then slowly but firmly improving throughout the last part of first quarter and into the second. There's no doubt that we've been had or lesson learned and are preparing differently for the quarters to come in order to make sure we have a better hedge strategy to be able to deliver on our ambitions, even if there would be new rounds of headwinds in the future. I think we see a more optimistic mindset, both when it comes to school owners or ad tech partners, as we talked about on the upside of ever business model. We see that also reflecting in corporate attitude, both in Europe and the U.S. And we think that the general consumption combined with now compare numbers on after COVID is, all in all, a fairly good starting point and flow into the second quarter.
Unidentified Company Representative: Thank you so much. There is a lot of interest around AI. We received a question from multiple participants. How do you see generative AI affecting content providers versus software platforms?
Eilert Hanoa: Yes. So that's a great question. And we're still early days when it comes to the maturity of the services and also the maturity of all the services will be consumed from an IP, from a security, from a deployment perspective and also cost perspective. That said, there is no doubt that generative AI and AI in general, will both help develop great software services such as Kahoot! creation, hosting and learning or studying perspective, and it will also impact parts of the content creation and content offering for a lot of companies outside of Kahoot! both segments and company per se. So we believe that a strong -- I think you will see that from many companies, those who are delivering tools and platforms and creation tools, will benefit and thrive from implementing AI as a part of the creation process or as a part of the presentation process, whether it's PowerPoint on one side of the fence or our solution like creating Kahoot! as you saw on the example, or even for graphic tools, and we will even see movies created partly with AI services embedded into the process. So, there's a big difference from the part of business, which is based on selling standard content versus those who are selling or offering platforms where you basically sell the tools and the toolbox. And we strongly believe that if you are in the tools platform -- toolbox side of the business, this will be not for free, but it will be a positive contribution to the toolbox you can offer to your customers.
Unidentified Company Representative: Thank you. We have seen user engagement as it declining as we have exited the pandemic, have you seen any signs of bottoming out?
Eilert Hanoa: Yes. We see a slightly change in pattern. And of course, the last month of compare pandemic was February. So, it will probably be a few more months before you can sign up too many long-term trendlines. But all-in-all, we see -- and that's, of course, important that we are able also to adapt to the different user patterns, whether it's larger group on-site, smaller groups on Zoom calls, and the frequency, the use case and also the need is, of course, also evolutionary changing, whether it's in school or at home or at work. And that's also why we are, as mentioned several times today, so focused on delivering new value propositions, more functionality and better experiences as the Kahoot! platform can be used in many new scenarios than what we are currently used at. And some of these new features, we will be able to launch for our customers in the coming months. And we truly believe that, that also will drive a different frequency of usage for professionals and for -- also for free users. And hopefully, as a consequence, of course, also drive more momentum when it comes to conversion and upgrade. So, across the board using the trend lines we see, but not taking for granted that we necessarily on the like-for-like product offering will have the same trends going forward, and therefore, continuing to invest in better products, better services and more value regardless whether you use Kahoot! once a month, once a week, or several times a day, in the time to come.
Unidentified Company Representative: Thank you so much. We have received a question from Christian Catalin [ph] from Arctic. Monthly active users on Clever seem to take off with last growth of 8%. Could you elaborate on this and how it affects revenue and Clever?
Eilert Hanoa: Yes. So it's -- of course, the number of students using Clever for different purposes is not constant. It's depending on the apps on the platform and the value of the platform in addition to, of course, logging into Clever. So, as we are adding more schools and it's used in classroom, we also expect the number of students to continue to grow in a ratio with that. That said, of course, the monthly active users can you use it once or many times a month. And so it's both a number of students, and it's the frequency of use and the value of the usage that are the driving factors for us. So we will continue to invest in making sure that it's a great solution for those who are using it for maybe one -- just one session a day or a week, depending on the topic or depending on the school. And of course, those who are using it all the time as teachers and students going forward. So we expect to continue to be able to grow both the number of apps, the value of the platform and the number of students going forward on Clever as well.
Unidentified Company Representative: Thank you. The next question is for Ken. You have been able to maintain modest cost base development for several quarters. How are you going to continue this given the inflationary pressures and your growth ambitions?
Ken Østreng: Yes. So we will continue what we've been delivering upon for the past five, six quarters with a prudent cost development across our operation. We will keep our team fairly stable in terms of size. And we will, of course, focus on continued operational excellence across all functions in the business and make sure we can extract synergies enabling a further kind of bandwidth to fuel the growth within the current team. So, that's basically what we're up against as we are every quarter.
Unidentified Company Representative: Thank you. And the next question is from Oliver Pisani from Carnegie. You were adding 35,000 paid subscriptions quarter-on-quarter versus 600,000 in Q4. Why the deceleration? What is the driver behind the falling number of active accounts in commercial Q-on-Q?
Eilert Hanoa : Well, Q1 is normally slightly slower in Q4 when it comes to adding net new subscribers. So that's also the trend we saw this year. That said, of course, we are never satisfied with the number of seats we are adding. So we always strive to continue to add more, and that goes without saying that that's why we're also launching new products and new initiatives to make sure that we take those opportunities, as there's still room to grow in all aspects of our business. And the activity on the platform in specific quarter can also be, of course, as mentioned, related to different use cases, and the way we are now structuring the number of active accounts in commercial, meaning, on the business side, on the core Kahoot! platform is also impacted by a slightly better way going forward that will provide the free tools and the free trials for professional customers. And hopefully, that will also drive more usage, while you are evaluating the product. But also more importantly, better conversion to paid users in the next cycle. So a lot of the initiatives we have been talking about for the last two quarters are about improving that phone, and also improving the value proposition in the hands of the users. And I think we will see some good results of that coming out now in this quarter.
Unidentified Company Representative: Thank you very much. Pete Kujala is wondering from Morgan Stanley. If you can give any commentary on core Kahoot! platform paid subscription in Q1. Is growth mainly driven by the other apps, or does Kahoot! still grow paid subscription on a quarter-on-quarter basis?
Eilert Hanoa : Yes. It's very much based on, I would say, the core Kahoot! platform and the viral growth around that platform, which generated $75 million in trading last year. What we are also doing and it's a great question related to the other apps, as we are more and more integrating and packaging the value, not necessarily code line, but the value derives from -- deriving from the code of, for example, DragonBox. So, during this quarter, you will see great new web services that are subsets of the DragonBox value propositions that will be 100% integrated in both the Kahoot! app for students, but also on the websites that teachers can launch in the classroom. And of course, that again will drive the subscriptions on the Kahoot! platform basically using as outlined many times, the acquisitions of our products as injections to drive more value creation on the platform, but also more subscription on the core code platform going forward. So the answer is both. We are selling more net Kahoot! subscription from Kahoot! ASA., but we hope that we will have more effect of the accelerated growth from the other apps and even conversion of other subscriptions into the Kahoot! platform by integrating and building a subset of the functionality as web service on Kahoot! platform.
Unidentified Company Representative: Thank you. We have time for one more final question. How will you reach the target of approximately 40% cash conversion in 2025?
Eilert Hanoa: Well, I can maybe start, and Ken, you can finish up. So I think for those who have been following Kahoot! for a few quarters, we'll see that -- we have been fairly focused on making sure that we have a consistent and scalable cost base. And that's both how we structure the most expensive part of our business, which is investments in new products and services and making sure that we have a good way to manage that going through the different phases of the company, but also different cycles and market conditions. We continue to do so. And that's very much in our plan to have a good and tight model for managing that in a way that we think it's possible to have a much higher-yield and scale of what you're already seeing delivered from us in the quarters and years to come without increasing the cost accordingly. And this is something that, from an organizational perspective, needs to be built, trained and live is not something you can decide per se overnight. And having that positive momentum that you see now from the shipment of new products, new partnerships and value from Kahoot! we believe it's a great sign of how this is actually playing out for us. And hopefully, that effect will be easier to see every quarter going forward. Ken?
Ken Østreng: Yes. And if you last year, the Kahoot! Group, excluding Clever that delivered approximately $105 million in billing with close to 35% free cash flow conversion for the full year, last year and if I look at the whole of the group in the last 12 months, we delivered a cash EBITDA margin of 32% and thanks to our scalable business model and operating platform, so, 40% that should absolutely be achievable.
Unidentified Company Representative: Thank you so much, Eilert and thank you so much Ken. And thank you all so much for joining us today, and for your questions. Please reach us, if we didn't get to your questions today. And see you again soon.